Operator: Good day, and thank you for standing by. Welcome to the Q4 2025 DHT Holdings, Inc. Earnings Conference Call. [Operator Instructions] Please be advised today's conference is being recorded. I'd now like to hand the conference over to your first speaker today, Laila Halvorsen, CFO. Please go ahead.
Laila Halvorsen: Thank you. Good morning and good afternoon, everyone. Welcome, and thank you for joining DHT Holdings Fourth Quarter 2025 Earnings Call. I'm joined by DHT's President and CEO, Svein Moxnes Harfjeld. As usual, we will go through financials and some highlights before we open up for your questions. The link to the slide deck can be found on our website, dhtankers.com. Before we get started with today's call, I would like to make the following remarks. A replay of this conference call will be available on our website, dhtankers.com, until February 12. In addition, our earnings press release will be available on our website and on the SEC EDGAR system as an exhibit to our Form 6-K. As a reminder, on this conference call, we will discuss matters that are forward-looking in nature. These forward-looking statements are based on our current expectations about future events as detailed in our financial report. Actual results may differ materially from the expectations reflected in these forward-looking statements. We urge you to read our periodic report available on our website and on the SEC EDGAR system, including the risk factors in these reports for more information regarding risks that we face. As usual, we will start the presentation with some financial highlights. In the fourth quarter of 2025, we achieved revenues on TCE basis of $118 million and adjusted EBITDA of $95 million. Net income came in at $66 million, equal to $0.41 per share. Vessel operating expenses for the quarter were $17.1 million, and G&A for the quarter was $5.6 million, which included approximately $0.6 million in nonrecurring project costs. In terms of market performance, our vessels trading in the spot market earned an average of $69,500 per day, while the vessels on time-charters achieved $49,400 per day. The average combined TCE for the fleet in the quarter was $60,300 per day. For the full year of 2025, we achieved revenues on TCE basis of $369 million and adjusted EBITDA of $278 million. Net income for 2025 was $211 million, equal to $1.31 per share. Adjusted for the gains related to sale of vessels, adjusted net income was $158 million, equal to $0.99 per share, marking another strong year for DHT. We have a rock solid balance sheet with low leverage and strong liquidity. At the end of the fourth quarter, total liquidity was $189 million, consisting of $79 million in cash and $110.5 million available under 2 of our revolving credit facilities. In December, we drew on this RCF capacity to fund the final installment for our first newbuilding, which was delivered on January 2. This drawdown was repaid in January when we drew on the newbuilding facility. Following these transactions, current availability under our RCF stands at $171.9 million. At quarter end, financial leverage was 17.6% based on market values for the fleet and net debt was just under $16 million per vessel, which is well below estimated residual values. Looking at our cash flow, we began the quarter with -- sorry, $81 million in cash. From operations, we generated $95.3 million in EBITDA. Ordinary debt repayment and cash interest totaled $13.2 million and $28.9 million was distributed to shareholders through a cash dividend. $97.6 million was deployed towards vessels during the quarter, which included the delivery of DHT Nokota, our 2018 built secondhand acquisition. We also issued $169.4 million in long-term debt associated with the delivery of DHT Nokota and the delivery of our first newbuilding DHT Antelope. In addition, we invested $107.8 million in our newbuilding program. Changes in working capital and other items amounted to $19.3 million, and the quarter ended with $79 million in cash. With that, I will turn the call over to Svein.
Svein Moxnes Harfjeld: Thank you, Laila. I will now go through our quarterly highlights. We entered into an agreement in June last year to acquire a large quality VLCC built in 2018 at Hyundai. We took delivery of the vessel in November and excellent timing as the freight market was roaring. She is named DHT Nokota and trades in the spot market. As we have alluded to in numerous communications, our plan has been to divest our 3 older ships built in 2007. One of the considerations was timely fleet modernization, selling the oldest vessels in a strong market and replace these vessels with our newbuilding program of 4 new vessels entering our fleet during the first half of this year. This newbuilding program was contracted some 2 years ago when the order book was about 2% of total capacity. We entered into agreement to sell DHT China and DHT Europe during the quarter for a combined price of $101.6 million. The Europe was delivered the last day of January, and we expect to deliver the DHT China later this quarter. We expect to book a combined gain of about $60 million during the first quarter. Cash proceeds should come in about $95 million. The following events took place subsequently to the quarter end. We took delivery of the first of our 4 newbuildings on January 2. She is named DHT Antelope, setting the tone for this new series called the Antelope Class. She is demonstrating excellent fuel economics during her maiden voyage, so far exceeding our expectations. The remaining 3 ships will deliver with 2 in March and 1 in June. This is a fully funded project and no new shares will be issued in this connection. We extended the time-charter for DHT Harrier with a 5-year contract at $47,500 per day. The new rate commenced at the end of January. The customer has the option to extend for 2 individual additional years at $49,000 and $50,000, respectively. Lastly, we entered into agreement to sell the DHT Bauhinia, our last vessel built in 2007. The price is $51.5 million and the vessel is debt-free. We expect to deliver her to our new owners in June, July this year and expect to record a gain of $34.2 million from the sale. Back to you, Laila.
Laila Halvorsen: Thank you. In line with our capital allocation policy of paying out 100% of ordinary net income as quarterly cash dividend, the Board has approved a dividend of $0.41 per share for the fourth quarter of 2025. This marks our 64th consecutive quarterly cash dividend. The shares will trade ex dividend on February 19, and the dividend will be paid on February 26 to shareholders of record as of February 19. On the left side of the slide, we present our estimated P&L and cash breakeven levels for 2026. Our spot cash breakeven for the year is estimated at $17,500 per day, which reflects the sale of our 3 oldest vessels and 7 special surveys scheduled during the year. This figure captures all true cash costs. The difference between our P&L and cash breakeven is estimated at $6,700 per day, totaling about $56 million for this year. This discretionary cash flow will remain within the company and be allocated for general corporate purposes. On the right side of the slide, we illustrate the accumulated dividends since we updated our capital allocation policy in the third quarter of 2022. The total accumulated amount is $3.34 per share, reflecting strong shareholder returns during a period of share price appreciation. Finally, an update on bookings to date for the first quarter of 2026. We expect 797 time-charter days covered for the first quarter at an average rate of $43,300 per day. This rate includes profit sharing for the month of January and the base rate only for the month of February and March for contracts with profit sharing feature. We anticipate 1,195 spot days for the quarter, of which 76% have already been booked at an average rate of $78,900 per day. The spot P&L breakeven for the quarter is estimated to be $18,300 per day. And then I'll turn the call back to Svein.
Svein Moxnes Harfjeld: We have repeatedly addressed the fleet demographics and how it creates an important and robust pillar in our constructive market outlook. We estimate the current sailing VLCC fleet to count 897 ships, net of ships engaged in permanent floating storage. Of this fleet, 427 ships or 46% of the fleet will be older than 15 years by the end of this year. Similarly, 199 ships or 20% of the fleet will be older than 20 years. And extraordinarily, 49 ships equal to just over 5% of the fleet will be older than 25 years. The sanctioned VLCC fleet counts 151 vessels, of which 105 are older than 20. 22 of the sanctioned ships that are younger than 20 are owned by NITC, the Iranian state-owned shipping line. There are discussions as to whether the sanctioned fleet can reenter the compliant market. At first, we would state that say for some very minor exceptions, there are hardly any commercial opportunities once the VLCC passes the 20-year mark in the compliant market. This is different for smaller ship classes with the general rule being that retirement age of ships gets older as ship sizes get smaller. A key message about the VLCC fleet. If and when the sanctioned oil markets become compliant, this could eventually make the sanctioned fleet redundant. Further, there are discussions whether the order book is growing into oversupply territory. We would argue no. The reasons are illustrated here with a confirmed order book of 171 ships delivering over the next 3 years. There are some discussions at letter of intent stages, which will likely add some additional orders for the very end of '28, but mostly in 2029. Delivery slots for new VLCCs on offer now are in 2029, hence, the 3-year delivery time will unlikely change. Fast forward to the end of 2029 and assuming no scrapping, we will have 528 VLCCs older than 15 and 303 older than 20. These numbers should be put in perspective with the order book. In short, we believe the supply squeeze to be real. As you may have read in the news, a fundamental shift in the fleet ownership is taking place with fleet consolidation by private actors gaining meaningful traction. We can say with confidence that this is taking place and already making an impact, both on freight rates in the spot market, customer demand for time-charters and values of secondhand VLCCs. We estimate that the aggregators to have gained control of some 120 ships, and we expect their efforts to continue and not too long to control at least 25% of the compliant tramping VLCC fleet, a critical market share. This consolidation is shifting the pricing dynamics and is putting pressure on timely availability of ships. As end users increasingly are taking note of this trend, we see rising interest from customers seeking to secure reliability, a reliability that increasingly will command a premium. As crude oil is a feedstock business, one should not expect this consolidation to be trade prohibitive. Crude oil transportation is cheap when measured as a portion of the delivered value of the cargo and slightly disappearing in the oil price. As a reflection of the constructive market view we have held for some time, we are increasing our spot market exposure for our fleet by reducing fixed income contracts, i.e., time-charters. Further, we believe the delivery of our 4 state-of-the-art VLCC newbuildings during the first half of this year to be very timely. You will note on this slide that we expect our spot market exposure to reach some 3/4 of our capacity during the second quarter. This enables us not only to participate in the rewarding spot markets to a greater extent than for some time, but also in due course, develop new time-charter contracts at improved rates. As we enter 2026, the VLCC market is undergoing a structural transformation. We are navigating a perfect storm of strong demand, geopolitical volatility, a rapidly aging global fleet and significant consolidation of the compliant tramping fleet. At DHT, we are not just observers of this cycle. We are well positioned to benefit from it. We have an excellent fleet in the water and execute a timely renewal with state-of-the-art VLCC newbuildings delivering into a strong market, financed without issuing a single share. We have increasing market exposure and a clear mandate to return earnings to our shareholders. We look forward to an exciting and rewarding 2026. And with that, we open up for questions. Operator?
Operator: [Operator Instructions] We will now take the first question. And this is from the line of John Chappell from Evercore ISI.
Jonathan Chappell: Svein, putting Slides 11 and 12 together, the commentary about the consolidation and then you're increasing spot exposure to 74%. The comment on the aggregator and charters looking for reliability and the premium associated with that. When I first read that in the press release last night, it sounded like that was conducive to a much stronger time-charter market. And we saw one of your Norwegian peers sign 8 ships at absurd time-charter numbers, lacking a better term. So can you help us kind of reconcile those? Do you think that there's going to be other opportunities like that even better than what you just renew the Harrier at. So that spot market exposure increase may be kind of short term?
Svein Moxnes Harfjeld: I can confirm that. So I would say, basically, all end users or customers now are in the market to secure time-charters and for a variety of tenors, mostly 1, 2 or 3 years. And the rates that they are being offered are above last bump. And the aggregator, so to speak, is not really in the market to offer ships for time-charter, at least not as we have seen and we doubt that it is happening. So it's really the remainder of owners that potentially will consider this. And I think today, there are rumors of a 1-year charter at $85,000 a day. So we'll have to see if that happens. But that, I think, is on subs apparently. So that's a reflection of a step-up from the last one on 1 year. And also, we are aware of customers bidding on 3-year charters, certainly at numbers quite above what you would assume to be last on. So I think in general, customers are a bit worried about reliability and not really having access to ships or potentially be held hostage to a market where ships are being held back for some reason, right? So it's a very interesting dynamic, and it's already sort of taking shape. So we already see the contours of how this is working out.
Jonathan Chappell: Okay. And then just you've done a deep dive on the supply side, so there's no reason to really rehash that. But the commentary on the last slide about demand, it looks like global oil demand growth is kind of stabilizing around 1% and there's a lot of talk about the market becoming oversupplied with OPEC production at the current levels and China really being the only kind of incremental buyer. Is that demand commentary more about ton-mile demand, more about disruption, sanctioned vessels, new trade routes? Or is it really more of a commentary on just an underlying robust consumption?
Svein Moxnes Harfjeld: I think it's a bit how numbers are presented and how they're analyzed. So when the 1% figure is referred to, that's a number over total liquids, i.e., roughly 83 million barrels a day of crude and remaining being sort of liquids, taking that number to, call it, 103 million. The reality is that seaborne crude oil transportation is today roughly around 41 million barrels a day. And the additional 1 million barrels of crude oil coming to the market is now basically all of it will be seaborne. So you have to look at that number over 41 million barrels, not over 103 million barrels. And if you do that, that's roughly a 2.5% demand growth, right? And then, of course, it's the play of distances, as you alluded to. Of course, Middle East now having more oil in the market is not as long transportation distances as some of the Atlantic crude. So you see now the U.S. production this year is probably, I would say, a bit sideways, but from conversations, understanding of some of the majors and consolidation in the U.S. They are bringing efficiency and cost down, which means they will also likely expand production. Guyana, of course, is growing quite fast, and we expect also Brazil to grow quite meaningfully this year. So I think all this combined, we have reasons to be positive on the demand side growth as well. So -- but I think the details really is understanding these numbers, the total liquids demand versus the seaborne demand of crude oil.
Operator: We'll now take our next question. This is from Frode Morkedal from Clarksons.
Frode Morkedal: On this aggregators controlling 25%, can you maybe translate that into a vessel count or maybe clarify how you define the compliance fleet? Because when I look at 130, 120 ships, that's just like probably 18% or something like that. So just a clarification on that first.
Svein Moxnes Harfjeld: Yes. So you have to knock off the sanction fleet, obviously, right, which is not really a market business. Then, there are quite significant number of ships that are state-owned controlled and that are really just running a shuttle service, basically a taxi service for their owners. So China Inc. for one, they control roughly 100 VLCCs, and quite a significant portion of that fleet is engaged in transporting oil as a cargo services from -- mainly from the Middle East for Chinese refiners. Saudi Arabia owns a big fleet. Japan Inc. owns a big fleet. So these ships are not really tramping and are open in the market all the time. Some of them might be because of scheduling issues that are free of cargo and being replaced and stuff like that. But you don't see all of those fleets in the regular spot market. So when you adjust that, I think a reasonable number is to think that the fleet is somewhere maybe 600 ships, maybe a little bit smaller even. So that's why we sort of take the risk at presenting that number. I don't think it's unreasonable to think that the 25% of the compliant tramping fleet are the one that going to be sort of exposed to this consolidation.
Frode Morkedal: Okay. Understood. So you're not really saying that they will add even more ships to reach 25%. They already have that.
Svein Moxnes Harfjeld: We understand in the market that they are looking to acquire additional ships. And as a company with ships, chances are maybe we also get the old phone call if you want to sell ships, and we're done selling. So I think ambitions are certainly there to do more. So let's see where it ends up.
Frode Morkedal: Interesting. On that note, I guess I have 2 questions on that. First, is 25% enough to meaningfully, let's say, shift the market dynamics? And how so? What mechanism will it be?
Svein Moxnes Harfjeld: I think so. I think because if you look at the types of ships that are being acquired, they're predominantly in the 10- to 15-year age bracket. And most of those ships that are being sold have been owned by owners with maybe 2, 3, 4, 5 ships. And they have occasionally a little bit different behavior in the spot market. So to -- if the -- if these aggregators are sort of getting all those ships under some sort of commercial umbrella, you will have, I think, a different pricing behavior and a different flow information, importantly to the people around, right? So if you are a big operator like DHT and some of our peers, you basically have ships in the market all the time, and you have very good information flow and you get access to pretty much all the business. But if you own 2, 3 ships, there could be quite meaningful time between every time you fix, you might not always have a full flow of information, although I don't need to be disrespective of these owners, but to be in the market all the time has a benefit, right? So I think the dynamic is certainly going to change because of this.
Frode Morkedal: That's very interesting. Last question I had is basically on the same topic because this company we're discussing has clearly been a willing buyer, right? And many owners, shipowners have been willing sellers and ship values have moved higher. I guess you basically said that they will probably buy more ships, right? But one of the question I often get from investors is that are there further bringing buyers at current levels, right? And how do you see vessel values being maintained at these lofty levels, to be honest?
Svein Moxnes Harfjeld: They are not the only buyer. So there are other buyers for ships in the sort of the older spectrum, I would say, ships predominantly built before 2010, '11. So there are still buyers there at sort of levels we just have sold our older ships at. There's also been, I would say, more than a handful of transactions on modern secondhand plus/minus 5 years of age. And all of those transactions were bid up on price, and there were competition, right? So there's very few modern ships to buy and some buyers have been willing to set a new market to get those ships. And those -- and these are credible buyers, right? And I don't think they are the only buyer in the market. So in general, people are very bullish, and I understand why. So I wouldn't say it's sort of the end of the buying period just yet.
Frode Morkedal: That's good to hear. And I guess current time-charter rates basically justify those ship values, right? So that's good.
Svein Moxnes Harfjeld: Great. There you go.
Operator: And the next question today comes from the line of Greg Lewis, BTIG.
Gregory Lewis: I did want to talk a little bit more about the consolidator and kind of tie it into your fleet. At least what we've seen and correct me if I'm wrong, it seems like their focus has been on some more of the older age vessels in the fleet, the 15 -- definitely the 10-plus, but even in some cases, 15-plus year-old vessels. I guess what -- I guess I'm curious, have they -- have they been looking at any more modern or younger tonnage that maybe we just haven't seen? And then tying it into your fleet, yes, obviously, you announced that we got rid of that last 2007 vessel. But at this point, we already -- I mean, time flies when you're having fun. And I guess at this point, we are starting to have 15 -- some more 15-year-old vessels just because time goes by in the fleet. And just kind of curious how you're thinking about some of those vessels that are just in that 15-plus year range now in your fleet?
Svein Moxnes Harfjeld: So we are done selling for now. So these -- we have 5 ships that are built in 2011, 2012. They're fantastic ships, large deadweight, excellent fuel economics, very, very good condition, and they serviced both us and our customers very well, and they are earning top dollars in the market. So they're not going anywhere but staying in the DHT fleet.
Gregory Lewis: Okay. And then has the consolidator been looking at more modern tonnage, i.e., because I guess what I'm trying to figure out is you bought the 2018 vessel not too long ago. Like how much -- like is this new consolidator -- I mean, I guess we don't want to talk about their name, but have they been -- are they looking -- are we seeing them bid into that more modern 7 and younger fleet?
Svein Moxnes Harfjeld: Yes, I think so, although I don't know for a fact, but I think so. So -- but for me, it's also been quite rational in the way they've approached to sort of the age bracket, call it, 10 to 15. I'm not assuming they're religious about it. But -- so the cash return on those investments, if you can do what it seems that they are setting out to do, will be significant, right? So it's a sort of good start in their play and their strategy. I would think sitting from -- on the sideline, we have a different approach because we are truly in the long term, servicing some quite demanding customers, and we need to also renew some of our equipment and do that timely and stuff like that. So for me, it's sort of logical what they are doing.
Gregory Lewis: Okay. Yes. Just maybe just because it's a private company and they're able to do things differently. And I did have a question about the broader market and realizing it's kind of only been a couple of weeks, and it's a work in progress. But just given what's happened in Venezuela earlier this year, have we started to see signs of that impacting, i.e., crude flow replacements that were previously from Venezuela coming elsewhere? And kind of curious how you see that playing out, just assuming that all that Venezuelan crude that had been heading, I guess, primarily to Asia, if that kind of has to deviate maybe more to the U.S.
Svein Moxnes Harfjeld: Yes. So it's early days, right? But I think that the barrels that are going to move now initially will -- from what I read, will predominantly go to the U.S. But there are some dynamics there. One of the biggest creditors in Venezuela is China. And that sort of financing that they have provided in the past is supposed to be repaid in oil. So if they're going to sort of settle the debt, so to speak, with bonds and all these things and get that sorted, I would guess China would want their hands on some of that oil. And we have seen now read that Trafigura and Vitol are being engaged as traders or marketers of this oil. And I think we should expect that some of this will be placed in Asia. The key now, of course, is that how quickly can they ramp up production. I think the sort of lighter products that they have, which are offshore is probably easier to get going than some of the heavier stuff in the Orinoco Delta and bitumen and oil emulsion and stuff like that, and whether they're going to be able to blend into the sort of -- I think it's called the major grade. So this will probably take a bit longer time. But of course, they have vast resources, right? And it will be great for the country if they can get this or get traction on this capital invested and get the production up. So I just think this is going to be good for the markets, absolutely.
Gregory Lewis: And just to that point, right, you mentioned Trafi, and I believe Vitol stepping in to kind of move some of that oil out of Venezuela, I guess, not historically, but at least the last couple of years, it's been moved on shadow fleet. Is there a process to those entities bringing online companies like DHT, hey, DHT, realizing that Venezuela has not been a place you've been going to before. Is there like a process in getting companies like you on board so that we're able to move this oil on, I guess, the mainstream fleet?
Svein Moxnes Harfjeld: It has to be. But I think it's fair to assume here that say it's Trafigura and Vitol that will sell this oil, they will hold the title of that oil, right? So they will be our customer. And of course, it has to be clear that there's no OFAC risk for a company like DHT in moving that oil. So we haven't seen any of this yet, but I think everybody sort of expect and understand that, that has to be resolved in a proper fashion.
Operator: [Operator Instructions] We will now take our next question. And this is from Eirik Haavaldsen from Pareto.
Eirik Haavaldsen: I just wanted to ask you on your balance sheet because, of course, with the cash flows you're now generating and with the vessel sales you've announced, you're quickly getting back to even after all these investments or the investments you made now in newbuilds and Nokota, I mean, you're getting down to a level below scrap very quickly. So what's your thinking there? What's the ideal level of debt? Because on an LTV basis, I think you're down to levels you haven't really been at before?
Svein Moxnes Harfjeld: I think it's important to make a distinction between book -- debt to book and debt to market value. So market values now, of course, have been going up. So then that leverage is sort of in the teens, as Laila spoke about earlier. To book, it's about 26.5% or thereabouts. I think over time, ideally, we want to continue to invest and grow the business. Right now, it's a bit hard to find meaningful investments. But to have that capacity in the balance sheet and do this organically and not being sort of reliant on printing new shares has been important target for us. I think secondly, our dividend policy, also an important pillar in structuring that is that there is a meaningful delta between P&L and cash breakeven because you always need some cash being retained in the company for other purposes than paying out dividends. And if you start to lever up too much with the lack of a better word, then you close that delta, which means you will have basically no cash flow left in the company or little -- very little. So that's not an ideal scenario. So it's not -- I cannot sort of give you or guide you on a specific percentage or a magic number. But these are sort of general things that we think about when we do this. We looked at some secondhand opportunities sort of end of last year, but prices run away from us. So we didn't do anything, obviously. But that stuff we have capacity to do to pick up a couple of modern ships without any new capital. So we want to have that capacity.
Eirik Haavaldsen: I mean there's been a lot of talk, obviously, on this call as well about this consolidated pushing values higher. But I guess another thing is also shipyards and newbuild prices and weaker dollar and backlogs that are increasing and so on. So where do you see newbuild prices headed over the next year? And I guess also with regards to your fleet because you cleared out now all the Chinese-built vessels. Are Chinese vessels or I guess, vessels under construction in China of interest to you? Or will you now have a sole Korea focus, which I guess can be valuable over time?
Svein Moxnes Harfjeld: We have nothing in principle against ships build the Chinese shipyard. We have potentially maybe a couple of yards that we prefer a rate or rank above maybe some others that have less experience in building ships. I think importantly now, this USTR issue between U.S. and China that postponed until November. So we'd like to see some clarity on that before we make sort of final decisions on this. But a significant portion, probably 70% now of the order book for these are in China. And I think it's going to be hard to just disregard it. So it's just a question of how we can potentially approach that going forward. But I think nothing is going to happen on our side just now. We have to wait a little bit.
Eirik Haavaldsen: But the [indiscernible] vessel now delivering, I guess, first half '29, what would the price be?
Svein Moxnes Harfjeld: I think plus/minus $130. One yard is just below, yard is just above. So -- and it's far out, right? So I think to sort of deploy capital now that will not work is the challenge, right? So, of course, we have some RCF capacity we can repay and save some interest expense, things like that. So it's just a question of making all this sort of work sufficiently, but at the same time, also sensibly for the company. So maybe there will be some reset opportunities at attractive price at some point. Right now, I would think chances are no, but that can change, right?.
Eirik Haavaldsen: At least the earnings are too high, I guess it's a good problem to have.
Operator: [Operator Instructions] We will now take our next question. This is from Geoffrey Scott from Scott Asset Management.
Geoffrey Scott: Has there been any resolution of protocols for demolition of the noncompliant fleet?
Svein Moxnes Harfjeld: That's a good question. So we understand now that one of the 2 largest sort of cash buyers in the demolition market is now seeking to get approvals, especially now from the U.S. and OFAC to transact then with counterparties that have been sanctioned in order to acquire these ships and get them demolished. So I don't really have an update as of today what the status is. But I think it makes a lot of sense for everyone to get that resolved and get that activity going because we have some of these ships now that are very old and in the shadow fleet that are losing out on work because conditions or maybe some crew don't want to work on them and things like that. And so they will have to go. And I think this will happen. And I think it's good news that at least one of those cash buyers are pursuing this. I would suspect that maybe the other big one is doing maybe something similar, although I haven't heard the name specifically, but I would guess that they will be looking into the same, so we can get that activity going.
Geoffrey Scott: Do you think this will get resolved sooner rather than later?
Svein Moxnes Harfjeld: Yes. I wish I could be more specific. I don't know. And I don't know the process with, I guess, OFAC and how it will work and what sort of political support you need or whether it's a technocratic decision. I don't know the process. So I'm sorry, I can't give you a better guidance. But I think we take some encouragement that there is a process that has started.
Operator: [Operator Instructions] There are no further questions coming through, sir. So I will now hand back to you for any closing comments. Thank you.
Svein Moxnes Harfjeld: Well, thank you to all for listening in on DHT, and we appreciate your interest and support and wish you all a great day ahead. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect.